Operator: Good morning, ladies and gentlemen, and welcome to the Cohen & Company's First Quarter 2025 Earnings Call. My name is Rob, and I'll be your operator for today. Before we begin, Cohen & Company would like to remind everyone that some of the statements the company makes during this call may contain forward-looking statements under applicable securities laws. These statements may involve risks and uncertainties that could cause the company's actual results to differ materially from the results discussed in such forward-looking statements. The forward-looking statements made during this call are made only as of the date of this call, and the company undertakes no obligation to update such statements to reflect subsequent events or circumstances. Cohen & Company advises you to read the cautionary note regarding forward-looking statements in its earnings release and its most recent annual report on Form 10-K filed with the SEC. Earlier today, Cohen & Company issued a press release announcing first quarter 2025 financial results. Today's discussion is complementary to that press release, which is available on the company's website at cohenandcompany.com. This conference call is being recorded, and a replay of it will be available for 3 days, beginning shortly after the conclusion of this call. Company's remarks may also include certain non-GAAP financial measures that management believes are meaningful when evaluating the company's performance. A reconciliation of these non-GAAP financial measures to the comparable GAAP measures is provided in the company's earnings release. After the prepared remarks, the call will be opened up for questions. I would now like to turn the call over to Mr. Lester Brafman, Chief Executive Officer of Cohen & Company.
Lester Brafman : Thank you, and thank you, everyone, for joining us for our first quarter 2025 earnings call. With me on the call is Joe Pooler, our CFO. We are encouraged by our first quarter results, reflecting strong performance from our full-service boutique investment banking operation, Cohen & Company Capital Markets, or CCM, which generated $20.1 million of net revenue. Also in April of this year, after the end of the first quarter, we expanded our platform with the launch of a new pack focused equity trading desk, creating synergistic opportunity to build on CCM's momentum and further its insights and capabilities. Despite ongoing marked market headwinds in our principal investing portfolio, we remain focused on disciplined execution and are well positioned for continued growth. We remain confident in our future earnings potential and committed to enhancing long-term sustained value for our stockholders to continued return of capital, including our quarterly dividend. Now I will turn the call over to Joe to walk through this quarter's financial highlights in more detail.
Joe Pooler : Thank you, Lester. I will begin with a discussion of our operating results for the quarter. Our net income attributable to Cohen & Company Inc. shareholders was $300,000 for the quarter or $0.19 per fully diluted share compared to net loss of $2 million for the prior quarter or $1.21 per fully diluted share and net income of $2 million for the prior year quarter or $1.28 per fully diluted share. Our adjusted pretax income was $1.3 million for the quarter compared to adjusted pretax loss of $7.7 million for the prior quarter and adjusted pretax income of $7.7 million for the prior year quarter. As a reminder, adjusted pretax income or loss is a key earnings measurement for us as it incorporates the enterprise earnings attributable to our convertible noncontrolling interest, which is substantially held by our Founder and Chairman, Daniel Cohen. Daniel holds his interest in the enterprise through the primary operating subsidiary, Cohen & Company LLC, which is a consolidated subsidiary of Colon & Company, Inc. New issue and advisory revenue was $33.2 million in the first quarter, an increase of $23.2 million from the prior quarter and an increase of $8.9 million from the year ago quarter. All of our new issue and advisory revenue came from our CCM business. A substantial portion of CCM's new issue and advisory revenue came from SPAC, M&A and SPAC IPO transactions. CCM's new issue revenue was offset by $13.1 million of negative principal transactions revenue during the quarter. As a reminder, we have received financial instruments as consideration for advisory services provided by CCM instead of cash at times. These financial instruments are included in other investments at fair value on our consolidated balance sheets. During the quarter, these financial instruments have been marked down, resulting in CCM's $13.1 million of negative principal transactions. Net trading revenue came in at $9.2 million in the quarter, up $300,000 from the prior quarter and down $600,000 from the first quarter of '24. Our asset management revenue totaled $2 million in the quarter, which was down slightly from the prior quarter and down $700,000 from the prior year quarter. Total first quarter principal transactions and other revenue was negative $15.7 million, primarily due to the $13.1 million of losses related to previously received consideration by CCM but also from principal losses related to our ongoing involvement in the SPAC market outside of CCM as an asset manager or investor. Our involvement in the SPAC market inside of CCM and outside of CCM has led to increased holdings of public equity positions and post-business combination companies. Equity value of post-business combination SPAC in many cases, has continued to decline, leading the shares we received to decrease in value negatively impacting both the principal transactions and the income from equity method affiliates line items in our statement of operations. Compensation and benefits expense for the first quarter was $21.7 million, which was up from both prior quarters primarily due to fluctuations in revenue, income from equity method affiliates and the related variable incentive compensation impacts. The number of company employees was 117 as of the end of the quarter compared to 113 at the end of the year. Net interest expense for the first quarter of '25 was $1.4 million, including $1.14 million on our 2 trust preferred debt instruments, $285,000 on our senior promissory notes and $18,000 on our credit lines. Income from equity method affiliates during the first quarter totaled $2.4 million. In terms of our balance sheet, at the end of the quarter, total equity was $85.7 million compared to $90.3 million as of the end of the year. The nonconvertible noncontrolling interest component of total equity was $8.4 million at the end of the quarter and $11.5 million at the end of the year. Thus, the total enterprise equity, excluding the nonconvertible noncontrolling interest component was $77.3 million at the end of the quarter, a $1.5 million decrease from $78.8 million at the end of the year. At the end of the quarter, consolidated corporate indebtedness was carried at $35 million. As Lester mentioned, we declared a quarterly dividend of $0.25 per share payable on June 2 to stockholders of record as of May 16. The Board of Directors will continue to evaluate the dividend policy each quarter and future decisions regarding dividends may be impacted by quarterly operating results and the company's capital needs. With that, I'll turn it back over to Lester.
Lester Brafman : Thanks, Joe. Before we open the call for questions, I want to take a moment to thank all of our employees for their continued hard work and dedication to Cohen & Company. We remain confident in our ability to navigate the current environment, execute on our strategic priorities and continue driving progress as we enhance long-term value for our stockholders. Please direct any off-line investor questions to Joe Pooler at (215) 701-8952 or via e-mail to Investor Relations at cohenandcompany.com. The contact information can also be found at the bottom of our earnings release. Operator, you can now open the call lines for questions, and thank you for joining us today.
Operator:
Lester Brafman: Okay. Well, thanks, everyone, for joining us today, and we look forward to reconvening at our next quarterly call. You guys have a good weekend. Thank you.
Operator: This will conclude today's conference. Thank you for your participation. You may now disconnect your lines at this time.